Operator: Hello and welcome to Eastern Bankshares, Inc. First Quarter 2022 Earnings Conference Call. Today's call will include forward-looking statements, including statements about Eastern's future financial and operating results, outlook, business strategies and plans, as well as other opportunities and potential risks that management foresees. Such forward-looking statements reflect management's current estimates or beliefs and are subject to known and unknown risks and uncertainties that may cause actual results, or the timing of events, to differ materially from those expressed or implied in such forward-looking statements.  Listeners are referred to the disclosures set forth under the caption, forward-looking statements in the earnings press release, as well as the risk factors and other disclosures contained in the company's recent filings with the Securities and Exchange Commission for more information about such risks and uncertainties. Any forward-looking statements made during this call represent management's views and estimates only as of today. While the company may elect to update forward-looking statements at some point in the future, the company specifically disclaims any obligation to do so, even if management's views or estimates change, and you should not rely on such statements as representing management's views as of any date subsequent to today. During the call, the company will also discuss certain non-GAAP financial measures. For a reconciliation of such non-GAAP financial measures to the comparable GAAP figures, please refer to the company's earnings press release which can be found at investor.easternbank.com.  Please note this event is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Bob Rivers, Chairman and CEO. Please go ahead, sir.
Bob Rivers: Great, thank you, Patricia. Good morning everyone, and thank you for joining our first quarter earnings call. With me today is Jim Fitzgerald, our Chief Administrative Officer and Chief Financial Officer. Our first quarter results were strong as we began to realize the benefits of the acquisition of Century Bank, and other investments we've made to grow our business and solidify our position as the leading community bank in Greater Boston. Our operating earnings in the first quarter were 23% higher than the same period a year ago. And we believe we are well-positioned to benefit from higher interest rates in the quarters ahead. Although organic commercial loan growth was slower than prior quarters, we believe that our pipelines are strong and that we are still on track for high single-digit growth in these portfolios in 2022. In addition, we have continued to build our talented team in middle market lending, commercial real estate, and community development lending, and added a half-dozen relationship managers from local banks during the first quarter. In addition, we continue to build our insurance brokerage business, with the March 1st acquisition of the Michals Insurance Agency, marking the 35th acquisition of an independent insurance agency by Eastern Insurance, since 2002. Although not fully reflected in our first quarter results, we completed the transfer of about $300 million in cannabis and money service business deposits to Needham Bank, on April 1, as previously announced. As always, I am grateful to my 2,080 colleagues who make all of this happen, and more. Our, almost, 700,000 customers who provide us with the privilege of serving their needs, our community partners who help make our region a better place to live, and our shareholders, for your continued support. Once again, thank you for joining us today and for your interest in Eastern. And now, I'll turn things over to Jim for an in-depth review of our financial performance.
Jim Fitzgerald: Great, thank you, Bob, and good morning, everyone. As Bob mentioned, we're pleased with our results for the first quarter. We completed some final milestones for the Century acquisition to put it largely in the rearview mirror, and produce very solid earnings growth that were above last quarter and the first quarter of 2021. The Fed rate increase came in mid-March, and has no impact on Q1 earnings. We do expect that increases in rates will have a significant impact on our net interest income, later in 2022 and 2023. And I will include some comments on that in our outlook. GAAP earnings for Q1 were $51.5 million or $0.30 per share. Operating earnings were $55.1 million or $0.32 per share. Operating earnings were up 23% compared to the prior quarter, and were up 18% compared to Q1 of 2021. Excluding PPP loans, overall loan growth was 3.1% on an annualized basis, and commercial loan growth was 4.4% annualized. Although this commercial growth was a little below the prior couple of quarters, our activity levels in local economy continue to be very strong, and we're optimistic about continued loan growth. We adopted CECL as of January 1, 2022, and recorded a $27 million increase in our allowance for loan losses. This was in line with what we communicated back in January. It was recorded through a $20 million after-tax reduction to retained earnings. We had a small reserve release of approximately $500,000 in Q1 as credit quality remained excellent. We repurchased 2.9 million shares in Q1 at an average price of $21.12. I'll focus on the balance sheet next. Total assets at 3/31 were $22.8 billion, down from $23.5 billion at the end of the year. This was driven by a reduction in deposits of $235 million as we implemented some of the funding strategies for the Century balance sheet we have previously discussed. Shareholders' equity decreased by $400 million due to the impact of lower all other comprehensive income, share repurchases, and the previously mentioned CECL adjustment that went through retained earnings. Loans decreased by $100 million as PPP paydowns were $190 million, although we experienced $91 million of growth in other loans, primarily in commercial loans. The securities portfolio decreased by $200 million due primarily lower market values for securities, paydowns and sales which were partially offset by reinvestment. Turning to the income statement, as I mentioned at the outset, earnings were $51.5 million or $0.30 per share. Operating earnings were $55.1 million or $0.32 per share. Operating earnings were 23% ahead of the prior quarter, and 18% ahead of last year. Net interest income for the period was $130.4 million on a fully tax equivalent basis compared to $124.6 million last quarter, and $101.4 million in Q1 of 2021. Average earning assets were up $2.4 billion in the quarter, primarily due to the Century acquisition, which closed in November of 2021. PPP fee recognition was $5.8 million in the quarter, down from $10.8 million in the prior quarter. The net interest margin on a fully tax equivalent basis was 2.42% in the quarter, down 12 basis points from the prior quarter. This was in part due to the lower PPP fee recognition quarter-to-quarter and also the full quarter impact of the Century balance sheet, which had a lower net interest margin than Eastern, changes in interest rates had a minimal impact of first quarter earnings. And I'll discuss the expected impact on increasing rates on our net interest income in the outlook section. Operating on interest income was strong in the quarter with fees of $53.3 million. We had good sequential growth from Q4 insurance revenues, interest rate swaps and deposit service charges and a strong growth from Q1 of 2021 and wealth management and debit card fees. One item we'd like to make sure that people focus on is the seasonality in our insurance revenues, we receive most of the annual incentive payments from insurance carriers in Q1 and that is reflected in the relatively higher Q1 revenues in the press release tables. We incurred $4.4 million of losses on run by trust assets due to stock market declines in Q1 and incur $2.2 million of losses on the sale of securities from the Century portfolio that were part of our plan portfolio repositioning. Expenses were $108.9 million than were $110.9 million on an operating basis in the quarter. Comparisons to Q4 are difficult due to the Century merger charges. But expenses are in line with our guidance from last quarter and reflect the cost savings of 45% that we expected at the time we announced the Century acquisition. The tax rate for the quarter was 22.1%. Just a few other comments on Q1, we provide a review of the securities portfolio on page 11 of the presentation. As noted there, we believe there is minimal credit risk in the portfolio. The unrealized loss at $331 million was $539 million due to the increase in rates. We expect to recover all of this unrealized loss as the bonds mature. The portfolio provides strong cash flows and we expect $750 million of cash flow throughout the rest of this year, which will provide a chance for reinvestment. We have a small portfolio of housing maturity securities of approximately $400 million. We provide a breakdown of our deposit portfolio on page 12 of the presentation. As you will see approximately 60% of our deposits are in checking accounts. We expect the combination of our strong deposit mix and our overall deposit cost of seven basis points will provide us with a good competitive advantage as short-term interest rates increase. We feel that our deposit franchise is a long-term strength of the company, but tends not to be featured as prominently during periods of very low short-term interest rates. We look forward to rising rates allowing us to spotlight the value of our funding position over time. We are pleased with the integration of the Century loan portfolio and continue to feel comfortable that it will add to our long-term growth prospects. Consistent with what we said last quarter, we expect some payoffs out of the portfolio over time, but feel very good that the Century portfolio will enhance our long-term growth. As noted, we did see some payoffs in Q1 in both the Century and Eastern portfolios, but they are consistent with normal activity levels. Asset quality in the quarter continued to be excellent. Loan charge offs were one basis point, non-performing loans were extremely low at $34 million. And after the CECL implementation, our allowance for loan losses as a percentage of non-performing loans is over 350%. Our COVID modifications are under $50 million down from over $100 million at the end of the year. In general, this quarter has little noise compared with our results in 2021, which included the Century acquisition and 2020, which included the IPO. We're pleased by that and think that over time it will make it easier to see the progress in our financial performance. Turning to our outlook, our internal forecasts has 725 basis point rate increases for calendar year '22 including the 25 basis point hike that occurred in March. And six additional 25 basis point hikes at each of the remaining fed meetings this year. The margin forecast is a moving target with a variety of forecasts out there and we will continue to update as the year goes on. With net interest rate hike assumption, we expect our net interest income to be between $530 million and $550 million in 2022. This is up from the $505 million to $520 million level we discussed in January. As we mentioned in last quarter, the impact from rate increases will have less of an impact in '22 than they will in '23, when we will receive the full annual benefit. As I mentioned earlier, we feel that our deposit base is the strength of our company and should provide us a strong competitive funding advantage with the rise in rates. We expect this funding advantage to improve both our earnings level as well as our performance metrics going forward. To follow back up on commercial loan growth as Bob mentioned, we've seen good success in adding commercial lending talent and expect commercial loan growth excluding PPP runoff in the mid-to-high single digits for 2022. We expect to implement a change in our overdraft practices later this year, which we anticipate will reduce fees by $2.5 million to $3 million in 2022. This would equate to $5 million to $6 million on an annualized basis. Inclusive of that change, we maintain our outlook for operating non-interest income in the $180 million to $190 million range in 2022. We continue to expect operating non-interest expenses to be between $445 million and $460 million. We expect the tax rate to be between 21% and 22%, which is up slightly from our outlook in January. As Bob mentioned, we transferred the cannabis business we acquired from Century in early April. The deposits totaled approximately $300 million. Through April 26, we repurchased 4.9 million shares at a price of $20.83 in total under our current authorization. These repurchases equate to 52% of our authorized amount of 9.3 million shares. Future repurchases will depend on market conditions. Thanks, and we're ready for questions. Patricia?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Janet Lee, JP Morgan. Your line is open.
Janet Lee: Good morning.
Bob Rivers: Good morning, Janet.
Janet Lee: So, it's good to hear that you guys are expecting a stronger rebound in commercial loans in the future quarters. But I just want to better understand. So, if you look at your core [CNI] [Ph], I mean, business banking and loan growth excluding PPP, it looks like it was pretty much flattish versus peers seeing low-to-mid teens. Does that have to do with small businesses that are coming back -- that came back at a slower pace in the first quarter versus general middle market, or was that just the markets that you're in or does that have to do with you spending more energy and efforts around closing and then integrated the Century merger?
Bob Rivers: Yes, thanks, Janet. I think, just want to make sure I'm answering the question you're asking. But I think I would answer it this way. I think, as we've described in prior calls, we have three or four segments in our commercial business. We have a business banking group, we've got a commercial -- what we call CNI group. We've got a commercial real estate group, and a community development lending which does affordable housing and other non-profit lending. We feel very good about all four of those segments. In the first quarter, you're right; the growth was in commercial real estate. All of those sectors had pretty good payoffs this quarter. Again, we describe that as normal, that's part of the activity. Activity and backlogs are good though. We think, as we've guided in the past, overall, from those segments we expect, over time, single-digit -- mid-to-high single-digit growth. And I can't really comment on peers, that you did there. But we feel very comfortable. It's very much a franchise customer-oriented business. We have -- these are direct customers of ours, so we feel that growth rate is very consistent with what we've done in the past and something we feel very good about.
Janet Lee: Okay. So, your optimistic view about your loan growth in the later quarters, so that's a function of growing pipeline. How about the line utilization and do you expect that payoff that you saw in the first quarter slow down a bit?
Bob Rivers: So, just a couple of -- good questions, a couple of responses, we didn't see any real increase in line utilization. So, that wasn't a benefit, basically stayed at the same levels where it had been. Payoff activity is, you know, it's part of doing business, so it's hard to predict. Obviously, interest rates have a little bit of an impact there, but there are a variety of factors there. So, we try not to get to exercise about payoffs, they're obviously something everybody has to deal with, and they're part of the business loan. But I -- well, we are excited about the pipelines and activity levels. Again, the local market here is very strong. We feel very good about our teams and talent, and we think we're positioned to take advantage of it in the way that I described.
Janet Lee: Okay, great. And turning to deposits, aside from the cannabis deposit transfer, how should we think about the trajectory of your deposits, the rest of your deposits in 2022? Should we see more deposit normalization taking place for the rest of the year, given the Fed's [QT] [Ph] or how should we think about deposit -- overall deposit growth in 2022?
Bob Rivers: Sure, good question. Just to make sure, again, I'm answering your specific question, but making sure we sort of set the stage a little bit. As we talked about through the Century acquisition, we did expect to reposition some of their deposits. We feel like, at the end of the quarter plus the cannabis deposits, that was essentially complete. A lot of that was in municipal deposits. And as I said, the cannabis deposit. So, that's behind us. I think -- and that makes it a little bit noisy, what I'm about to say. But if you look the prior couple of quarters, really across the industry, and certainly in Eastern, we had very explosive deposit growth. I think our view was that it would be very hard to grow deposits from those levels, just given the factors that cause it, the stimulus, as you mentioned, et cetera. So, I think we're in an environment where it's going to be much more difficult to grow deposits over the next -- looking forward. But we feel very good about our market position and our capabilities. As I tried to say a couple times, our deposit strength -- the strength of the company, long-term, has been our deposit structure. We think we compete very well there.
Janet Lee: Okay, great, thanks. My last question, in your revised 2022 NII guidance, can you tell us the level of deposit data is assumed, now that you also have Century deposits on your balance sheet? Thanks.
Bob Rivers: Yes, it's not something we've disclosed. Different companies do it differently. They calculated differently, there's so many assumptions that go into it, I just don't feel like it's apples, we can present it in a way that I'm confident would be taken sort of apples to apples with other banks. But generally, we've got what we believe is a very low beta, relative to others, we expect it'll be a little bit higher this time, just because the environment is a little bit different. But other than that, I think we just tried to incorporate that into the guidance that we gave.
Janet Lee: Can you remind us what it was in the prior rising cycles?
Bob Rivers: No, I don't think we've disclosed, as I said, I am not comfortable doing that. Everybody calculates it slightly differently, depending on which if you think about the last cycle rate, rates went up and then they came down. If you calculate it in different time periods, you get different answers. So, our information was all public, you can see the cost of funds change in that period. And that's where I would lead you to it. I wouldn't. That's how I would do that.
Janet Lee: Okay, thanks.
Operator: And your next question comes from the line of Mark Fitzgibbon from Piper Sandler. Your line is open.
Mark Fitzgibbon: Hey, guys, good morning.
Bob Rivers: Good morning, Mark.
Mark Fitzgibbon: Jim, should we assume that swap income is going to be a little bit lighter in 2Q, it looked like it was a bit elevated this quarter?
Jim Fitzgerald: Sure. So, Mark, just as a reminder, we have a mark, there is a fair value process of our swap book. And in the first quarter, interest rates were up, that creates a higher fair value. And that was a component of that. And you can see that in prior, in particular first quarter a year-ago, activity, loan level activity was reasonably strong. It's been an area where there's because of the LIBOR shift, there's been a lot of uncertainty and swap new business has been low because of that. We did see a return there in the first quarter. We expect that to continue but the mark-to-market elements of that. We don't expect, unless rates continue to go up, we wouldn't expect that to continue.
Mark Fitzgibbon: Okay. And then secondly, although your deposit costs are certainly low, they have started to creep up the last couple of quarters. I guess I'm curious. Are you seeing pressure on the consumer side of the house? Or is it coming from the commercial side?
Jim Fitzgerald: No, I think that's just adding the Century deposits, which had a slightly higher cost than Eastern, Mark. The Eastern cost is the same. It's just the combination of the balance sheet.
Mark Fitzgibbon: Okay. And then I wondered if you could maybe discuss sort of the M&A environment as it relates to the insurance agency business, is there a pipeline of deals out there, is pricing attractive today? You guys have been a little quiet recently on that front, just curious.
Jim Fitzgerald: Yes, the pipeline continues to be as active as it has been now for a while Mark. Again, the pricing metrics still very favorable for smaller deals, and that's where we've focused, when we get to things that are at the higher end, as we would describe over several million dollars in revenue for example, the pricing metrics start to deteriorate a little bit. So, we've really kept our focus on smaller agencies within a few million dollars in revenue or less, as was the case with Michals. And that's what we see in the pipeline right now and would expect that activity this year would be consistent with activity of prior-years. That is, we will acquire a couple of three insurance agencies this year.
Mark Fitzgibbon: Thank you.
Operator: And your next question is from the line of Damon DelMonte from KBW. Your line is open.
Damon DelMonte: Hey, good morning guys. Hope everybody's doing well, today?
Jim Fitzgerald: Good morning, Damon.
Damon DelMonte: Good morning. So, first question, I think in Bob's prepared remarks, he mentioned about a half a dozen relationship bankers have been added to Eastern. Was this a team of lenders, was it individuals and there to give a little more color about those hires?
Jim Fitzgerald: Sure, so it wasn't a team. They were all individual hires. And they were all different in many ways. That is, they were evenly distributed across our major commercial banking lines middle market, commercial real estate, community development lending, they came from competitors that were both large and small. It came from competitors that were experiencing acquisition related disruption. And several came from organizations that weren't. So, it was really a mix in many ways, which can be a very good thing when you think about acquiring others that might follow them. And it's one of the reasons that we feel so optimistic about our commercial loan growth in subsequent quarters as these folks come online.
Damon DelMonte: Got it. And with regards to the commercial loan growth outlook, I think the commentary was mid to high single-digits, and I missed the part about that was inclusive of some of the runoff of Century or not inclusive of some of that runoff?
Jim Fitzgerald: It is inclusive, so inclusive of run-off, yes.
Damon DelMonte: Got it, got it. Okay. Great and then on the fee income side, Jim, I think you made a comment about you're adopting a new overdraft policy, pretty much waiving certain fees. When did you say that was going to kick in?
Jim Fitzgerald: The second-half of the year, Damon.
Damon DelMonte: Okay, got it.
Jim Fitzgerald: In particular, second-half of 2022.
Damon DelMonte: Okay. I guess that that probably covers everything else has been asked and answered. So, thank you very much.
Jim Fitzgerald: Great, thank you.
Operator: [Operator Instructions] Your next question comes from the line of Laurie Hunsicker from Compass Point. Your line is open.
Laurie Hunsicker: Hi, thanks. Good morning. Just going back to where Damon was the overdraft and NSF, you said $2.5 million to $3 million in 2022, appreciate the detail on Page 15. How much was the overdraft and NSF total for this quarter?
Jim Fitzgerald: Yes, Laurie the reduction annualized, which we've outlined at $5 million to $6 million, about 50%, would be about 50% total.
Laurie Hunsicker: Perfect, okay. Thanks. And then insurance revenue, insurance fee income was higher; I realized that it's usually higher in first quarter, but how should we be thinking about the Delta from first to second? Is that $4 million to $5 million drop or do you have a refreshed number there?
Bob Rivers: Yes, what I would encourage you to do, Laurie is just look at last year. So, first quarter of this year was about 2% higher than last year 2021. And you can see and we do try to provide it the quarterly dropped to Q2, I don't know off the top of my head, but it's there and I would look again the 2% growth this year versus last year, and then look at seasonality from 2021 to get a good judgment there.
Laurie Hunsicker: Okay, that's great. And then on to expenses, and again, I'm just looking at your Slide 15 into your comments. Just looking at where you are for non-interest expense this quarter, you were 109 if we add back the rabbi trust employee benefits, 2.2, that takes you up to 111. And obviously, getting that run rate looks like and maybe I just need your help understanding this. It looks like the benefit plan expense didn't hit this quarter. And I was thinking it would or did it hit and I'm missing something. Can you just refresh us on that? And then also how much the amount was?
Bob Rivers: Sure, so the benefit plans, which are included at a high level in the proxy were issued in March. So, not for the full quarter to, I think the point of your question there.
Laurie Hunsicker: Got it. And then what will be the full run rate there?
Bob Rivers: Yes. So, I think one of the things we've said in the past and would say again is this first year's grant was sort of, not sort of this first year's grant, the goal was to try and recreate the long-term incentive expense that we had as a mutual company, which was approximately $10 million a year. So, going forward, there'll be additional grants, but this grant itself was the strategy of that was to replicate the expense that we had in that prior plan, which was as I said and with disclosed other places about $10 million a year.
Laurie Hunsicker: Got it, okay, got it. Okay. And then asset sensitivity, appreciate your comments, do you have a refresh on that as of March 31, in another words, your December 31 as of December 31, if up 100 basis points as positive 7.6% on NII, do you have a comparable number there?
Bob Rivers: That is about the same, I think one of the things that we said last quarter Laurie in this call was that for every 25 basis points increase in rates, we would have at that time, we said we'd anticipate $8 million of incremental net interest income with some of the balance sheet restructuring, is that down a little bit, but I would say it's $7 million for a 25 basis point increase.
Laurie Hunsicker: Okay, that's great. Okay, great. And then, Bob, just last question, now that you've closed Century, can you just refresh us in terms of how you're thinking about bank M&A?
Bob Rivers: Sure. So, we're ready for another partnership, when one comes available. So, certainly open to that, full on focused on our organic growth, as you can see in our hiring activity that has been much more aggressive than it's been in the past, so, very focused on building the commercial loan book, and the overall organic growth of the company generally, and trying to improve our multiples, so that for future deals, we're even better positioned for those acquisition opportunities when they arise.
Laurie Hunsicker: Great. And then just one last question on that, as you think about another partnership, are you still focused sort of in and around Greater Boston and expanding out from there, or have you jumped geographies at all, what's your thoughts on that?
Bob Rivers: No, it's same as before, Laurie. It was still focused on the immediate region that we're in and immediately adjacent geographies, so again that remains our focus.
Laurie Hunsicker: Great, thanks for taking my questions.
Bob Rivers: Great, thank you.
Operator: And there are no further questions at this time. I will now turn the call over to Bob Rivers for closing remarks.
Bob Rivers: Well, once again, everyone thanks for your interest in really appreciate you joining us today and we look forward to talking with you again after our second quarter release.
Operator: This concludes today's conference call. You may now disconnect.